Paolo Guglielmini: Good morning. Thank you very much for attending the call. We are pleased to report the strong third quarter with organic growth of 8%, very solid back-to-back across most divisions. Innovation has been a key driver for us in Q3. We see progress with the investments in cloud platforms, good adoption for autonomy solutions, automated inspection, newly launched product having good reception from customers, very differentiated reality capture technologies growing very solidly in double-digit. All of this gives us a good competitive momentum in most areas. And of course, innovation is also helping us offset the macro weakness that we see in some of the verticals and the regions that we are exposed to. Gross margin came in resilient at 65%, operating margin at 29%, but net of FX, we saw incremental volumes coming in at very good marginal profitability as we will see later. Also, thanks to the initial savings from the rationalization program that we just launched, we managed to trigger more than €40 million in annualized savings. I'll give you a little more detail on this a few slides later. Cash from operation grew in line with revenue, while cash conversion was negatively impacted by working capital and impact that will reverse. In the quarter, we announced the acquisition of HARD-LINE, Canadian-based, the provider of technology solutions for remote control, roughly €12 million in sales, strengthening our portfolio for the mining industries. In Slide 5, we give you more detail about the breakdown of growth as it came in through the reporting segment and the divisions. The star of the show in Q3 was certainly on the right hand side autonomy and positioning, growing at 41%, driven by defense, by agriculture, by autonomy and ADAS solutions in automotive. Geosystems grew at 6%, very solidly considering the macro environment when it comes to construction and infrastructure. The SIG division declined by five percentage points as we keep redefining the perimeter of our core business in SIG and keep it as much as possible focused on software and recurrent revenue rather than unrelated and dilutive services. In IES, manufacturing intelligence grew by eight percentage points, the continuation of the good momentum that we've seen this year, and ALI grew by 10 percentage points, both in the core design areas as well as in asset management. If we're moving on to Slide 6, an update on the rationalization program that we just launched. In summary, three months ago, we announced an investment of €198.6 million, which would fully recognize in our Q3 P&L to support the creation of €16o million to €170 million of annualized savings fully realized by 2025. A quick reminder of what are we addressing with this investment is about G&A synergies across the divisions, is about optimizing the real estate footprint of the group, tackling some of the areas of underperformance that we have within our operations, as well as making one-off investments in automation, digital, and physical automation that are going to create cost savings across the group. In Q3, the program had a cash impact of €16 million and triggered, as I said before, roughly €45 million of annualized savings. €6 million of savings were realized in Q3. In the quarter, we have also completed a small disposal within the SIG division realizing a small gain as we keep looking at opportunities for rationalization and capital allocation. Ben?
Ben Maslen: Yes. Thanks, Paolo. Good morning. So, onto the breakdown of organic growth by region and industry, we saw growth in every region, which is good, but a similar trend to last quarter, a slower development in North America and Western Europe, with most segments growing, but at low single-digit rates, and declines in some construction markets. China still grew organically in the quarter at 6%, a little bit slower than Q2. What we see there is still weakness in construction markets, slightly slower demand than previously in automotive, but general industry and electronics still strong. Elsewhere, we still see good growth in the Middle East and rest of Asia, especially markets like India, South Korea, and Indonesia. By segment surveying, we see a weaker trend in North America and Western Europe, but this is being offset among very good growth in the reality Catcher solutions, including the BLK lines. Power, Energy & Mining, still very good momentum across the board. And Discrete Manufacturing, we see good growth globally in Aerospace & Defense, a solid development in electronics, and general manufacturing. But as I said, we're seeing some slowdown in automotive markets after a very strong last few years. Next slide, please. In terms of Geospatial Enterprise Solutions, they delivered sales of €666 million during the quarter, so that's organic growth of 7%. And an operating margin of 30.6%, which is slightly down on last year. As David will come on to show the underlying incremental margin was very good, but currency was a drag on the margin. If you look at it by subdivision, Geosystems continues to gradually slow. We're seeing very good growth in mining and reality capture solutions offset the slowdown we see in surveying and construction products. Machine control, which is construction-focused, was fairly stable overall. For Geosystems overall, new products, so those products that we launched in the last 12 months, including the BLK360 Generation 2, that added around 3% to Geosystem's growth overall, after showing the payback we're getting on the investment. SIG, as Paolo mentioned, continues to have the drag from the exit of low margin defense contracts. We expect a similar development in Q4 and then we'd expect growth to resume as we start easier comparatives. Public safety was flat in the quarter, but has very good order momentum, and they are building a pipeline for next year. A&P, an exceptional quarter with 41% organic growth. This included a one-off perpetual deal, which accounted for around 25 points of the growth. So, I would say it's probably mid-teens underlying. Still see very good underlying trends in their core markets, Agriculture, Aerospace and Defense, and Marine, we expect that to carry into the final quarter of the year. Next slide, please. In terms of Industrial Enterprise Solutions, they had sales of €686 million, so that's organic growth of 9%. In terms of the margin of 28.7%, again, the negative drag on that was currency. By division, if you look at Manufacturing Intelligence, they did 8% organic growth. Good growth in Aerospace and Manufacturing, our continued momentum in China, but Automotive Markets slowing. Order growth for MI during the quarter was slightly slower than revenues, was running at a mid-single-digit growth rate. For ALI, 10% organic growth, a very good performance overall across industries and products. We continue to see a slow improvement in process industries, including oil and gas and the benefits of the diversification efforts we pushed as a strategy in that division for the last few years. We're then having nice wins in both Mining and Pulp & Paper segments. The quarter did benefit from a couple of large perpetual deals, which probably added a couple of percent to the growth rate, but we see good momentum in this business overall. And for IES, both EAM and ETQ had a good quarter, both growing at double-digit rates with faster growth than that in the SaaS segments. Over to you, David.
David Mills: Thanks Ben. So, I'll just start with a brief summary of the elements that I would like to cover over the next Slide 5. That's an outline of the strong operational performance in the quarter, explaining our diverse geographical footprint, introduced some material currency movements from the comparative perspective, and finally, to expand on the cash flow in the quarter. So, just walking through the income statement. We reported €1.352.1 billion operating net sales, which was a reported growth of 2%, had currency impact of 7%, 2% from structure, which was an organic of 8%. The adjusted gross margin was 65.5%, up 0.3% from the previous year. We delivered an EBIT of €393 million, which was an EBIT margin percentage of 29.1%, again, up 2% as in line with the reported sales. The earnings before taxes were €350 million with the impact of the interest expense of €43 million versus the prior year of €9 million and the other lines that highlighted the adjustment line, which was €246.2 million, which includes a one-time charge of €198.6 million, the usual PPA amortization of €29 million, and the LTIP of €16 million. Moving on to the next slide. Just to reiterate the strength of the margin performance. We have 65.5% to 65.2% as I mentioned. But this long-term graph shows that this is one of the underlying cornerstones of Hexagon's improved EBIT over a long time horizon, driven by a richer software mix and the improved margins through next-generation products and devices and launched on a rolling basis, this has increased by 1% from 65% to 66%. Moving to the next slide, we have the profitability bridge. So, here, I introduced again the comp, the significant currency impact. So, on the topline, we had an €87 million currency impact on translation, which was driven by the devaluation of the CNY and the Japanese yen up 12% and the US dollar of 7%, that fall through with it a €34 million translation impact on EBIT level. That was a significant dilution to group margin because sales in -- our sales footprint in the US and in China exceed our cost footprint. So, devaluation in that currency is a drag, and we also saw a small appreciation in the Swiss franc, where we have the opposite, and that again added to the drag that we saw. In addition to the translation, we have a net transaction impact of 7% on top of the 34% to take us to 41%, which was 9.7% in the prior year and 2.9% in the current year. So, all-in-all, the currency impact is a drag of 40.7% or 1.1% on an accretive dilution perspective. Moving on to the next column, which is structure. That is the acquisitions that have been in the group for less than 12 months. We had a contribution in net sales of €20 million and operating adjustment of €6 million -- sorry, operating earnings of €6 million and therefore, a 30% margin, so just above the group's prior year, so adding a small amount on the accretive level. The result from that is the organic. That's the difference between those elements and there, you see that the delivered profit was €42 million. That's a 42% drop through on profitability. This is where the savings from the rationalization program would be reflected and that would be an accretive of 0.9%. So, the overall conclusion of this is that without the FX impact, we would have seen a 1% improvement in the operating margin for the group. Moving on to the next slide. This is a cash flow analysis. Just wanted to start on the topline is the EBIT that we've already seen reported with the 2% growth. It's there for reference for the calculation of the cash conversion. The next line is the cash flow from operations before change in working capital, excluding taxes, which is €489 million, that's a 6% increase. So, the increase on the cash flow line at that level exceeding the operating earnings, showing that we're actually leveraging, that's caused by an increase in the outback from the depreciation and amortization. The investment level was constant year-over-year at €141 million, so cash flow post investment increases to 8%. We could have introduced currency also in this slide, but to keep it simple, we didn't, but it would have had a material impact if you consider currency drag on these numbers. The dilution on the cash conversion comes from the next number, which is the change in working capital, where we saw a challenging €98 million absorption from that element, and that is the element that has reduced the cash conversion down to €64 million. I'll come back to that on the next slide, just to give some context around that €98 million. Slowing down through the rest of the cash flow statement, we have taxes paid of €61 million, which changes based on timing and the difference between estimated tax payments and actual tax payments. And as I mentioned on the first slide, we see that the high interest cost is diluting, which brings us down to the bottom of the cash flow statement. Moving on to the next slide. We have the working capital to sales trend. This is a long time horizon. So we see a very good development on the long-term working capital to rolling 12-month sales decreasing downwards. That's as we improve the software mix through acquisitions. You see the point where the 10% line dissects curve, that is the point where we went into the COVID impact and you see, at that point, a significant reduction in the working capital as we had a -- an impact on the hardware more material to the more resilient Software business that didn't climb -- decline as much. The ratio then slowly climbs back as we move into a more normalized range. And this was a protractive process as we were navigating the component sourcing issues, which are now largely resolved, but it has caused that slow take back to this existing level. So, now we feel that we'll move back to a more normalized element, driven by the strong growth that we've seen over that time horizon. In the top right on box, just to give some breakdown. I've split the €98 million change in working capital, that was an increase in receivables of €35 million. We had a very strong closeout to the quarter. We saw some large perpetual deals, especially in the ALI division, which meant that billings were up €12 million in September. I don't have any concerns on the DSO side or on the receivable side that there -- at around the €84 million, which is in line with our average. We saw a small decrease in inventory, which I would have actually probably hoped would have been a little bit stronger. We're not trying to destock or anything like that, but I think we've reached the level of inventory that we should be able to operate with, and that has a consequence through on the liabilities line because we're actually slowing down the inventory purchasing. We see a reduction on the payable side. Obviously, DPOs turn faster than DII. And therefore, we see that impact before we see it into inventory. The movement on deferred revenue is the normal phasing we expected to see between Q2 and Q3 and the accrued expenses likewise. So, just to conclude, the summary was a strong delivery quarter, backed by the continued organic growth, improved operational performance in both EBIT and the cash from an operating perspective, masked by the FX, and a cyclical tie-up in working capital.
Paolo Guglielmini: Thank you, David. I want to now take you through a couple of examples of innovations and good sales execution. We've talked about how innovation clearly came in, in the quarter to help us compete well and help us offset some of the weakness in the core markets that we try and address and at the same time, keep driving gross margin up over the long period. So, if we look at Slide 17, this is the story that comes from INTERGEO. INTERGEO is one of the world's leading trade fair for all aspects that are related to geoinformation and land management with 17,000 trade visitors from more than 100 countries. So, it's a very well-attended event. Hexagon has been awarded first-ever company, the Software and the Hardware Innovation Awards in the Wichmann Innovation Award category for this year with two elements of innovation on one side, the reality cloud studio that is powered by HxDR, which is a SaaS application that is really destined to consume in a very user-friendly way, data from scanners and BLK. And at the same time, we have won the Innovation Award for the BLK2GO PULSE that has been launched during the trade show for the hardware category. Just to give you an order of magnitude, we now have roughly 20,000 users of HxDR. This is our 3D platform to consume in a very seamless way data point from a multiplicity of sources fuse the data and really build value across the multiplicity of applications, from reality capture, to geospatial content, the construction industry, and industrial facilities, thanks to our partnership with NVIDIA. The BLK family installed base keeps expanding as well. And every time that we have new more rich usage of BLK, we create data that we can go and monetize through HxDR and the ecosystems of applications that we're building on HxDR. On Slide 18, if we move from the construction to the mining sector, let's talk about an expansion of our activities with Glencore. Glencore, of course, is one of the world's largest global natural resources companies, is a major producer of more than 60 commodities, operates more than 60 mines and oil production assets in over 35 countries. Glencore and Hexagon have a strategic partnership. We have progressively rolled out our technologies to deliver productivity and safety through applications and solutions such as Operator Fatigue Management, Collision Avoiders Solutions, Vehicle Intervention Systems. In Q3, this is the last commitment -- the latest commitment of Glencore to our solutions in Chile. Glencore acquired roughly 200 Collision Avoidance Solutions for a deal value of more than €4 million over a couple of years. Still within the mining portfolio in Slide 19. We did announce the acquisition, as I said before, of HARD-LINE in the quarter. HARD-LINE specializes in remote control solutions and network infrastructure. So, this is where you allow -- tell a remote operation for heavy machinery from a control station that is located in a safe area on the surface or underground regardless of the distance. In this case, the technology of HARD-LINE has been used to deliver safety and productivity for a dam operator. This is an existing Hexagon customer that is promptly adopting the newly acquired solution. Moving on to Slide 20. If we move from the Geosystems to our public safety portfolio, we have had a significant commercial success in Brazil in the quarter where Rio de Janeiro, the second largest city in the country with more than 9 million people have selected our own core solution. This is our newly developed computer-aided dispatch system. This is a five-year loan commitment for software implementation and support. Other than our core dispatch capabilities, these agencies will also deploy our assisted AI to recognize and tackle security threats. I would say more in general, when we look at SIG and new focus on these applications, we see good uptick in terms of pipeline, trying to set the foundation for a good growth of public safety into 2024. In Slide 21, ALI has had its ninth consecutive quarter of growth, so very good momentum here. Among other significant deals, we have closed a large SaaS agreement with one of the largest midstream oil and gas operators in Canada. In projects of this nature that are highly competitive, the benefit of offering design and asset management data combined through similar data models fuse integrated is very important. We help customers create a reliable single source of truth and we see incrementally the benefits of having these technologies in the same portfolio and being able to take a customer on a digitization journey from the point of design to maximizing the operations and asset utilization. Still within EES, if we move on Slide 22, talking about Manufacturing Intelligence. MI had another solid quarter of growth. We talked about software. We talked about automation as a key success factor. We are rolling out our platform, Nexus. Nexus has a little more than 6,000 active customer accounts. We keep on adding new applications on Nexus. We keep on adding capabilities to capitalize on our installed base and drive upselling and cross-selling processes. In this case, we're having good success with our connected work capabilities. Mueller, a North American producer of water infrastructure has selected Nexus' connected worker tools for better data integrity, operational efficiency, quality control, and inventory management across their plants. Here too, this is a SaaS commitment that is going to materialize over a couple of years. Moving to MI on Slide 23, this is a commercial success with a company called HAUK. This is an automation house, a family business, one of the critical suppliers to the [Indiscernible] Group for their local operations in Czech Republic. HAUK has invested in our newly launched automated inspection cells called PRESTO. This is a family of products that are aided by the laser tracker capability to offer not only speed and productivity, but also unparalleled accuracy in the inspection. These are situations in which relatively expensive automation sales are justified and backed by customers by the trade off with speed, the readiness of feedback that we offer with this next level sort of automation capabilities. This is really an enabler for productivity for these customers. So, in conclusion, on Slide 24, we're very pleased with recording another quarter of sustained continued growth. We think innovation has got a lot to do with the way we are competing, and we are offsetting some of the slowness that we see in the end market. Margins were resilient. We have seen the substantial impact of FX in our reported EBIT, and we have seen a bridge to show strong operational leverage across the business. The rationalization plan is something we're very focused on because it's going to provide the next level of opportunity to gear and leverage as growth kicks in. Cash conversion came in slower than we wanted it, driven by working capital, but there's a lot of focus on it. And last but not least, in terms of governance, from the Nomination Committee to the Board, to the leadership team, we are all very focused on this theme, both in terms of Board composition and in terms of transparency of information to ease the access to Hexagon to this broader community. So, we look forward on Slide 25 to welcoming as many of you as possible to the Capital Markets Day that we're going to host on the 7th of December in London. And of course, we will focus on our vision for the group, new ways in which we want to build high-fidelity digital twins and monetize them across our software-centric solutions. We want to talk more about our strategy that goes and how do we plan to achieve those goals. And last but not least, of course, share with you, ideas in terms of additional disclosures and improved communication to help, again, this community map our journey in the best possible way. So, please contact the Investor Relations team to register and find out more details. Thank you very much. And with that, we're ready for questions, please, operator.
Operator: Thank you. [Operator Instructions] The question comes from the line of Sven Merkt from Barclays. Please go ahead, your line is open.
Sven Merkt: Great. Good morning. Thanks for taking my question. Maybe we can start with the question on the working capital. Earlier, you spoke about a more normalized working capital level now. Previously, you often talked about that you expect working capital to improve going forward. So, is this right to assume that you don't expect a meaningful release in working capital going forward?
Paolo Guglielmini: No, I think we would, over the longer time horizon always look to drive down working capital. And I expect that over -- as we did in the years up until the COVID point, we saw an improved process. It does get incrementally harder when you get down to the levels that we're achieving. So, -- but I would still expect that we would continue to drive an improvement process through the working capital.
Sven Merkt: Okay. But in the near-term, we shouldn't expect a working capital release?
Paolo Guglielmini: I mean I think you have to look at the cyclical process over a period of time, I would, whether it's one quarter, two quarters, that's always up for debate. But yes, we would expect that we would see an improvement, yes.
Sven Merkt: Okay. And then a question on the intangible CapEx. They stabilized around the level of €120 million compared to last level. Should we expect it to stay at this level or could it increase further?
Paolo Guglielmini: No, I think that's now a stable level. We are an innovation company. We do look to invest. We need to continue to invest, but we also have to invest at the right level, and we feel that, that is the right level at this moment in time.
Sven Merkt: Okay, perfect. And then just a last question. You had some impairments in the quarter. Can you explain what they relate to?
Paolo Guglielmini: Yes. So, the €17 million impairments in the quarter, that was related to overlapping technologies. And a small amount of the NRI we used was for some obsolete technology that we had. It was pretty much a 50/50 split.
Sven Merkt: Okay, great. Thank you very much.
Operator: Thank you. We will take our next question. Your next question comes from the line of Alexander Virgo from Bank of America. Please go ahead, your line is open.
Alexander Virgo: Yes, good morning everybody. Thanks for taking our question. I wondered if you could talk a little bit about the dynamics of the reinvestment of your cost savings versus investment in the business. It's something that you may be slightly touched on and your answer to the previous question. But you talked when you initially announced that cost savings program that you'd be reinvesting it in the business. So, I just want to make sure that we understand the trajectory of savings, I guess, cadence of when you expect them to come in and how supportive or otherwise that would be of margins more generally over the coming few quarters, I guess? And then the second question would be just around China. I was quite surprised at how strong your business has been there on the manufacturing side. I think the construction weakness you called out on the GES side is kind of makes sense, but the performance on manufacturing is quite strong relative to both what I would have expected from the market and what we've seen from other industrial end markets. So, just wondering if you could comment a little bit on the dynamics around that and whether this is now something of a trend that we can see or whether it's a bit more of a one-off? Thank you.
Paolo Guglielmini: Yes. Alex, good morning. Thank you for your question. So, on the first one, in terms of the rationalization program. Yes, we are determined to keep as much as possible of those savings. We think that from an R&D perspective, we are trending on a good level. We're doing good work and putting that capital at work when it comes to G&A. We see opportunities for rationalization. So, we think we are in a good place also to offset, say, inflationary pressures into next year. We think there are areas of innovation in which we have front-loaded the technology work with respect to investments in sales and marketing. So, on a smaller portion, we would reutilize some of those savings to make sure that we get in the market the right level of momentum around newly released technologies trying to create channels that are dedicated and trying to, again, spend in the marketplace, the differentiation that we think we have earned from a technology development point of view. In terms of China, I agree with you. I mean, China has done very well in manufacturing. I mean if you look at their performance in the last quarters, we have been always close to the double-digit mark for MI. Construction, as you know, is difficult. I think we're going to have a good finish to the year, but it's a market that remains challenged. In the quarter, we have also shrunk our exposure to the A&P and the SIG portfolios within China. So, we're basically trying to focus on technologies that we can localize and for which we can be very competitive across all customer profiles. I think we're going to continue to have additional in MI in China for the next three to six months, but I also think that it's a tough environment. So, beyond that, it's hard to have some visibility.
Alexander Virgo: Okay, great. Thank you.
Operator: Thank you. Your next question comes from the line of Nay Soe Naing from Berenberg. Please go ahead, your line is open.
Nay Soe Naing: Hi, good morning. Thank you for the questions. I've got two, if I may. Starting with the working capital movement or related to the working capital movement. I was wondering maybe if you could share directionally the progression in your aging profile of your receivables, please also the level of provisions against the debt that we have on your balance sheet? And the second question is around the slowdown that you flagged in the auto market in the MI segment. If you give get a little bit more color in terms of the geos and the product segments that you saw the slowdown in, that would be really thoughtful. Thank you.
Ben Maslen: Yes. So just on the DSO side, I mean, we had a movement of one day on DSO. There was no material. It's at 84, it's within our normal range. So there's nothing really happening of a material nature. In terms of our bad debt provision, yes, I mean it's standing, it's fairly constant. I don't see any issues on that side. That's why I expressed it. I'm confident on the payable side. I think we had a strong invoicing period. It's a tough environment, though. I won't shy away from that. There's clearly everybody is looking after cash at the moment. The interest costs are high and we do see a little bit more stickiness at times, and we definitely see our purchasing side, people want payment. But in a tough environment, but nothing of concern.
Paolo Guglielmini: Yes. And on the Automotive side, as you can see in the arrows chart, I mean we saw down arrows in North America and China. Our market has been very strong for the last few years. And A, you're hitting tougher comps and B, we did see a couple of projects rolling off the dismayed was sequentially a bit weaker. So, I wouldn't say it's dramatic, which is calling out that, that market is not growing like general manufacturing, aerospace, electronics, and some of the others.
Nay Soe Naing: That’s helpful. Thank you very much.
Operator: Thank you. Your next question comes from the line of Daniel Djurberg from Handelsbanken. Please go ahead, your line is open.
Daniel Djurberg: Thank you operator and hello Ben and David. A question, if I may, on what you see in terms of the trend of reallocation of manufacturing facilities. We know, obviously, Vietnam, India, et cetera, are seeing some new buildups from partly move from China, et cetera. Can you comment on -- if you will need to do any major changes to your own geographical structure, are you ramping up presence in the markets in any major level?
Paolo Guglielmini: Yes. Thank you. For the moment, we are very focused on the rationalization efforts that we've talked about. I mean, in terms of facilities broadly defined, we have a footprint that is wide. And as you know, we're relatively acquisitive. So, those acquisitions tend to come in with real estate as collateral damage, so to speak, so we have roughly 500 facilities across the group. We've talked about the rationalization of 20% to 25%. And so that's occupying a lot of our calories. I mean, as you know, we have a good footprint in most regions. What we are trying to do is to become smarter in cross using facilities and skill sets across divisions because currency plays in your strategy growth and maturity of certain product categories playing your strategy. So, we're trying to make the very best decisions for the future.
Daniel Djurberg: Perfect. If I may, I want to follow up on the financial expense. Q3 totaling €46 million, interest coverage range of €3.2 million down from €31 million. Can you comment a little bit on how much of this was the currency effects and how much is interest cost from your gross debt?
Paolo Guglielmini: Yes, the majority of it is interest cost from the gross debt.
Daniel Djurberg: Okay. Thanks.
Operator: Thank you. The next question comes from the line of Balajee Tirupati from Citi. Please go ahead, your line is open.
Balajee Tirupati: Thank you. Balajee Tirupati from Citi. Two questions from my side, if I may. Firstly, how would you characterize group's performance year-to-date versus internal expectations? Which areas have priced positively and where you have seen higher-than-anticipated weakness or need for improvement going forward? And second question would be on companies software part of business where Hexagon has not talked much about subscription and SaaS strategy. Would it be possible to share group's current philosophy on the same?
Ben Maslen: Yes, sure. On software and the strategy around a shift to subscription or SaaS, that's something we're going to focus on at the Capital Markets Day, give you information around where we are today and the plan we have for the next few years. As you know, the rough split for the group is 40% of revenues come from hardware. Around 20% is services, and the rest of it is Software and Software Maintenance. And within Software, only around 10% of group sales of perpetual. And that side of perpetual licenses from pure software businesses or its perpetual licenses that are sold with a piece of hardware. So, there's not a huge piece of perpetual software that needs to shift. It's something we're doing already in specific businesses. If you look at ALI, for example, or ETQ or EAM, so we're not expecting a dramatic change. We obviously want to push the businesses in that direction. So, we'll put more color around that at the Capital Markets Day in a few weeks' time. In terms of growth, I mean, if you look back to last year, November, December 2022, people were very cautious, I think, on the economy for 2023. So, we've been surprised, I think, all year at how strong the growth momentum has been in discrete manufacturing, in Geosystems and across the group. And as Paolo mentioned, I think we do see markets deteriorating now in certain areas, particularly construction. But as expected, we've managed to offset that with good innovation and product launches.
Balajee Tirupati: Very helpful. Thank you.
Operator: Thank you. Your next question comes from the line of Erik Golrang from SEB. Please go ahead, your line is open.
Erik Golrang: Thank you. I have two questions. The first one on cash outlays related to the restructuring program. We didn't see much of that in the quarter, some more visibility on that. Would you guide for how do you expect cash to be impacted over the next couple of quarters? And then the final question is for general on the outlook. What's the -- in terms of sort of growth rates exiting the quarter compared to average growth rates, what do you expect to see in the fourth quarter here? Any notable slowdown in growth compared to what you saw in Q3? Thank you.
David Mills: So, I'll take the first one on the cash. So you have the €15 million cash impact that we put on the quarter from the NRI. I would expect it to increase. Yes, the plan is moving. The plan is progressing well. Clearly, we're going to see that number increasing over the next couple of quarters. So, you can expect an increase in that number.
Ben Maslen: Yes. And I think on growth rates, Eric, as I mentioned when we went through the divisions, there's not a dramatic shift underway. I think order growth in MI was more mid-single-digits, so it was a little bit lower than the revenue growth that we saw in the quarter. Geosystems has been on a slow decline through this year. That's probably fair that, that continues, but we do expect the growth in reality capture and mining. Geospatial content to offset the softness that we see in construction markets. For A&P, they obviously had an exceptional quarter because of the one-time order that we called out, so that won't recur. But we do see very good underlying momentum in the agriculture markets, aerospace and defense and even Marine coming back a little bit. SIG, the drag from the service contracts will be similar in Q4 as it was for Q3. But as I say, that will lap itself going into next year. We expect it to get back to growth. And ALI, a couple of points of growth came from some larger perpetual deals, as Paolo mentioned, but we see good underlying momentum in that business in Q4 and good growth in EAM. So, we'll have to see how the overall economy pans out for Q4, but as far as we see at the moment, that's the best commentary that we can do.
Erik Golrang: Very clear. Thank you.
Operator: Thank you. Your next question comes from the line of Olof Cederholm from ABG. Please go ahead, your line is open.
Olof Cederholm: Yes, hi everyone. It's Olof from ABG. Just a question on pricing from here. Can you elaborate a bit on how much of your growth came from let's say, abnormal pricing given the inflationary trends that we've seen? And that's the first one. And second one, if you could talk a little bit on how you see the restructuring savings phase out throughout the coming quarters? Will there be a significantly bigger effect in Q4, Q1, et cetera? How should we think about that? Thanks.
David Mills: So, in terms of pricing, I mean, I think there's two dynamics, right? In the mean as you know, we have a portfolio now that is pretty evenly split in between Hardware, Software with then services accounting for 20%. There's an incremental portion of our Software portfolio that is tied to multiyear contracts. So, I would say that the pack that you get from price actions is a little more diffused over a longer timeframe. In terms of Hardware, just to give you an order of magnitude, I think the pricing play in the core Geosystems devices for about 2.5 to 3 percentage points all-in-all. So, we will see, but we're going to keep on trying and being very proactive from a pricing perspective. Also, we think that we compete well. We tend to have devices that are on the premium side of the market. We have a lot of value to deliver. So, we have to be very obsessive over pricing very well. And then in terms of the restructuring, I mean, I think we're going to have a similar level of cash out in the next quarter as we have had in Q3 or in the similar -- in a similar ballpark, we've talked about the four types of initiatives that we're working on. Not all of those will be actioned at the same time. We're trying to front-load tackling underperforming businesses first. And then initiatives that I have to do with facilities, initiatives that have to do with G&A optimization across divisions will probably be phased across the period that we have introduced at the moment of the announcement.
Olof Cederholm: Excellent. Thank you. And could I also follow-up very quickly on how you see effects going forward now in Q4?
David Mills: Yes, I mean, obviously, we had the 7% that we've talked about. I mean, there's still FX in Q4, but it is definitely coming down. Obviously, that those rate stands today. So, I obviously can't predict where rates are going to end up. But based on where they stand today, it's reducing from the 6% that you've seen.
Olof Cederholm: Thank you. Appreciate it. Thanks.
Operator: Thank you. Your final question comes from the line of Viktor Trollsten from Danske. Please go ahead, your line is open.
Viktor Trollsten: Thank you very much, operator. So, you mentioned that the reality capture new product launches had a positive 3% growth impact in Q3, what was this the first quarter with meaningful impact [indiscernible]?
Ben Maslen: Yes. No, I mean the product was obviously launched a few quarters ago, but it takes a while to ramp up. So it had a smaller contribution last quarter than 3%, but yes, we called it out this quarter because it was more material.
Viktor Trollsten: Okay. And then for -- basically for more color on the surveying business within -- I guess, 3% growth on the full year -- implies an 8% growth impact on the surveying part of the business. If I try to look on the underlying, call it, surveying market, if we exclude that impact from new product launches, it seems that inorganic growth was fairly negative from a historical perspective, around 5% negative. Where -- would you say that? Is this what we should sort of think about the coming quarters also? Or are you selling that we are on fairly low levels now, if you see my question. .
Paolo Guglielmini: I understand there's a lot of moving parts within Geosystems. I mean the way I would cut it is you probably got 55%, 60% of revenues that are exposed to construction. The larger part of that is surveying and construction products, but you also have machine control, you have construction software. But the surveying that this quarter was weaker, and it was probably down similar magnitude to what you say, maybe a little bit more. But that's being offset by the 40% to 45% of Geosystems, which is not tied to construction. So, you have 20% or so, which is mining, and we see very good growth momentum and expect that to continue in Q4. Reality capture is around 15% now. So, it's a much bigger part of the pie, and we see very good momentum with products like the BLK 360 Gen 2. We have a geospatial content business in there, where we sell MAP data, it's 5% to 10% of sales, mostly subscription or recurring. So, I think at the moment, you do see a weaker trend on the construction-driven products. It gets pulled forward a little bit because that's the area where we sell product via intermediaries, distributors. So they react more quickly to a downturn, which is why you're seeing the weakness now. But as you saw in the quarter, the other products offset it, and we would expect the same for Q4.
Viktor Trollsten: Okay, that’s clear. Thank you very much.
Operator: Thank you. I would now like to turn the conference back for closing remarks.
Paolo Guglielmini: Yes. Thank you very much, operator. Thanks, everyone, for dialing in this morning. Again, we're very pleased about the progress that we made in the quarter and we look forward to seeing as many of you as possible in a couple of weeks' time in London on the 7th of December. Thank you.